Operator: Good day ladies and gentlemen. Thank you for standing by and welcome to Intchains Fourth Quarter 2024 Earnings Conference Call. Today's conference is being recorded. If you have any objections, you may disconnect at this time. Joining us today is Mr. Chaowei Yan, Chief Financial Officer of Intchains; and Ms. Minty Wang, Investor Relations Director. Mr. Yan will provide an overview of the company’s performance and the details of the company’s financial results. After that, we will conduct a question-and-answer session to take your questions. I would now like to hand the call over to Minty Wang, Head of Investor Relations at Intchains Group Limited. Please go ahead.
Minty Wang: Thank you, operator. Good day, everyone. I'm Minty. Welcome to the Intchains Group Limited fourth quarter 2024 earnings call. For today's call, Mr. Chaowei Yan, CFO of Intchains Group Limited, will provide a comprehensive overview of the company's performance and financial results for the quarter. Before we proceed, I would like to remind everyone that today's discussions will include forward-looking statements. These statements involve known and unknown risks and uncertainties and are based on the company's current expectations; and projections regarding future events that may impact its financial condition, operating results and strategic direction. The company undertakes no obligation to publicly update or revise any forward-looking statements to reflect subsequent events or circumstances or changes in expectations, except as may be required by law. Although the company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that such expectations will turn out to be correct. And the company cautions investors that actual results may differ materially from the anticipated results. Investors should review the other factors that may affect its future results in the company's registration statements and other filings with the SEC. We will discuss certain non-GAAP financial measures. Please also refer to the reconciliation of non-GAAP measures to the comparable GAAP measures in the earnings press release. The presentation and the webcast replay of this conference call will be available on the Intchains website at ir.intchains.com. Now let me turn the call to our CFO, Mr. Chaowei Yan. Please go ahead.
Chaowei Yan: Thank you, Minty; and everyone, for joining Intchains' earnings conference call for the fourth quarter of 2024. On today's call, I will provide an overview of our operational and financial performance. After that, we will conduct a Q&A session to take your questions. In the fourth quarter of 2024, the cryptocurrency market rebounded strongly. Ethereum and Dogecoin lead this resurgence [ph]. And we benefited from the renewed optimism following the U.S. presidential election which spurred expectations for a more crypto-friendly regulatory environment. This positive environment translated into robust operational performance for our company. In fourth quarter, we achieved revenue of $10.2 million, a remarkable 109% increase year-over-year. It is important to note that, due to our production cycle, some orders placed in Q4 will be recognized as revenue in 2025. In addition to our strong revenue performance, our non-GAAP adjusted net income rose by 54% to $2 million. Our strategic focus on accumulating Ethereum also paid off, as our holdings of Ethereum-based cryptocurrencies increased by 37% quarter-on-quarter to a total number of 5,702 units. Looking ahead, we are optimistic about our upcoming product initiatives. In February, we launched -- in February 2025, we launched our Aleo series mining product, a more -- a move we expect to be a significant performance driver in the first half of this year. We have also introduced a new hardware wallet, expanding our payment application ecosystems built on last year's Goldshell Pay. Moreover, we remain committed to upgrading our Dogecoin series mining machines to capture additional market share while steadfastly pursuing our long-term Ethereum treasury strategy. For those less familiar with our business, let me briefly outline our core operations. We operate in 3 key segments. Firstly, under the Goldshell brand, we produce mining products for promising altcoins such as Kaspa, Alephium, Dogecoin and Aleo. Secondly, we reinvest our profits by accumulating Ethereum which [indiscernible] structure. Last but not the least, we are actively exploring innovative Web3 application to drive long-term growth. Our differentiated growth strategy focused on blue ocean altcoin mining sector. As one of the pioneers of home mining products and a committed long-term holder of Ethereum, we have established a unique position in capital markets. Looking forwards, the industry is poised to experience several catalysts this year ranging from progress in bitcoin reserve legislation in various U.S. states, to the approval of additional crypto ETFs, emerging new technologies and applications and anticipated upgrades to Ethereum. In February, we made a significant stride by launching our Aleo miners. These mining -- these machines designed to tap into promising world of zero-knowledge proof are -- already generated between 40 to 50 Aleo tokens per day, with an attractive return for miners. We will also continue to enhance our Dogecoin mining products to maintain our leadership in this area. We see several short-term catalysts for Dogecoin, including live broadcasts for -- from U.S. DOGE department and the potential approval of ETFs. We have also expanded our product suite with the launch of the Goldshell Wallet, featuring an air-gapped technology that allows payments without an Internet connection, an important step in advancing our Web3 application. Looking ahead to the first half of 2025, our operational pillars will be built around our DOGE and Aleo series mining machines. While some orders from Q4 2025 will have -- will recognize the revenue deferred to Q1 2025 due to the production cycle limitation, we are confident that the strong profitability and order demand for our Aleo box series and DOGE series products will contribute positively to our gross margins. Now I will provide a brief financial overview of our fourth quarter of 2024. In the fourth quarter, the cryptocurrency industry witnessed a global regulation turning point following the conclusion of U.S. presidential election in November. This market was filled with optimistic expectations for a more relaxed regulatory environment for the cryptocurrency industry in the future. So turning to our financial performance. Q4 saw our revenue reached $10.2 million, representing a 109% year-over-year increase. While this strong performance reflects the rebound in market sentiment, please note that some Q4 orders will be recognized as revenue in the -- in 2025 due to the production cycle limit. Our non-GAAP adjusted net income increased by 54% to $2 million, a significant turnaround from previous period, despite slight dip in the gross margin in Q4 attributed to a higher proportion of lower-margin Dogecoin miner sales compared to Q3's higher-margin Alephium and Kaspa products. We have made a substantial investment in R&D for new projects related for 2025. We expect lighter expense pressure in the first half of 2025 which should further support our profitability in this year. Moreover, the gain on fair value of cryptocurrency for the fourth quarter was about $4 million and also significantly contributed to the company's net income growth in Q4. The gain was primarily due to an approximately 31.5% increase in the price of Ethereum and approximately 37.4% increase in the number of Ethereum. For the full year 2024, we achieved -- we also achieved a significant growth across key financial metrics. In 204, our revenue was largely driven by the sales of mining products across the Dogecoin, Alephium and Kaspa lines. This performance not only underscore our deep industry insights but also validates our investment approach in altcoins sector. Our -- under an operational level, we experienced rebounds in revenue, gross margin and non-GAAP adjusted net income compared to 2023, reinforcing our confidence that we'll remain in the most -- we'll remain in the middle of the bull cycle. At the year-end, our total assets stood at approximately $149 million. Our crypto assets were valued at around $24.7 million, representing 16.6% of total assets, with Ethereum-based -- Ethereum holding comprised about 13.2%. Combined cash, cash equivalents, short-term investments and cryptocurrencies totaled around $96 million or roughly 64% of our total assets. This robust balance sheet underpins our future growth initiatives and reinforces our ongoing Ethereum treasury strategy. Looking forward, we anticipate Q1 2025 revenue of approximately RMB100 million to RMB120 million, with first half 2025 revenue projected to reach around RMB200 million to RMB250 million, driven largely by new product sales and continued market momentum. Thank you for your attention. We look forward to updating you on our progress as we continue to drive growth across the crypto cycle.
Minty Wang: Thank you, Mr. Yan. At this point, I would like to open the floor for questions. You're welcome to ask questions in Chinese or English. We will provide English translation when necessary, for convenience purpose only. In case of any discrepancy, please refer to our management statement in the original language. Now, operator, we may start the Q&A session. Thank you.
Operator: [Operator Instructions] First questions comes from the line of Mark Palmer of the -- from The Benchmark Company.
Mark Palmer: I definitely appreciate the extent to which the crypto markets have rebounded, particularly in the fourth quarter. And we saw demand for Dogecoin increase nicely. Can you talk a little bit about what your expectations are with regard to Dogecoin for 2025 and what you are seeing in terms of demand for Dogecoin mining rigs at this point?
Chaowei Yan: Thank you, Mark, yes, yes. We are always a pioneer of the Dogecoin mining machines. From the second half of 2024, we're seriously considering about the future; or the potential, market potential, of the Dogecoin. So we believe that the Dogecoin mining market, the potential of the Dogecoin mining market is -- in the future decade have a possibility to surpass the bitcoin mining market, so we decided to have a deep -- to have a serious R&D input on the Dogecoin mining market. So firstly, we -- for the -- in 2024 -- 2025 perspective, our plan is that -- firstly, we expect to reduce the cost or -- yes, reduce the costs of the existing mining machines and then improve the mining efficiency. And further, we will diversify our mining hardware for mining Dogecoin in -- and please just keep patient, yes. We will have more competitive Dogecoin mining products launching into the market this year. Thank you.
Minty Wang: And to be specifically. Some of the revenue will be recognized in the first quarter of this year. And also, according to our order book, the demand of the Dogecoin machine is still very strong.
Chaowei Yan: Yes, yes, yes. Because, firstly, we underestimated the -- Dogecoin's price surge after the -- Trump's election. So we don't prepared -- we didn't prepared enough Dogecoin mining rigs. And you can see on our balance sheet that our contract liability increased significantly. And these contract liability will reflect -- will turn into revenue in this Q1. Thank you.
Mark Palmer: Very good. And can I also ask a question about your move into Aleo mining which is the first time that the company has gone into the zero-knowledge proof space? Can you talk about what you are expecting in terms of demand for Aleo mining equipment in the coming months?
Chaowei Yan: Yes. Thank you for your question. Firstly, we think that Aleo is a project, crypto project, based on zero-knowledge proof technology. And it's a future trend. And our company has always been optimistic about the private computing field. And therefore, once the algorithm of -- the algorithm for Aleo projects was finalized, we immediately began developing the specialized -- the Aleo specialized miner. So we're using our -- we used our consistent approach of quick time to market. Now we are the first mining -- we have the first mining machine in the total market. And for the future plan, we believe that the Aleo mining -- currently the mining -- Aleo mining machine are generating very attractive returns. And the product demand is quite good. And for -- and also for the future plan, it will depend on the market conditions and also the Aleo projects -- their future development road map, so we will close monitor the Aleo projects development and make the decision of upgrade the mining machines, the -- make this decision accordingly.
Minty Wang: Yes. Just as Charles said, you can watch that we are the first professional Aleo asset provider around the world. And for our Aleo series mining rigs, it will produce around of -- 40 to 50 Aleos per day which means that, if you buy our Aleo products, you may get around $15 to $20 per day which makes that -- which makes this series of products a very attractive products for miners. And because this is a very attractive product for miners -- so for us, it generates a very strong demand. And we think the sales of Aleo machines and the sales of the DOGE series machines will be the main drivers of our revenue, at least in the first half of this year.
Operator: Our next questions comes from the line of Laura Lui from Premia Partners.
Laura Lui: So you mentioned about the performances for the first quarter, so I would like to ask. Under the pressure of the overall market in the first quarter, what's the company's current guidance based on the current market pressure? Or did you make neutral or optimistic assumptions already about the development of the crypto market in the first half of the year and also the first quarter, please?
Chaowei Yan: Yes. Currently we think the overall crypto market is under pressure. And for -- due to series of events, first -- including the concern over an economic recession, the Bybit hack and the improper issuance of many meme coins, all these things leading the market to a decline -- leading to a decline in risk appetite. However, we still believe that now is in an interest rate cutting cycle. So it's -- now, crypto market, it remain in a bull cycle. And now the company are very confident of the, well, crypto industry. And we will keep accumulating Ethereum and develop our new miners, so -- and for the quarter -- and for the fourth quarter, yes -- our guidance for the 2025 is -- taken the current market situation into our consideration. And we believe we have a -- relatively conservative assumptions for the Q1 revenue guidance. Thank you.
Laura Lui: So now that you mentioned about the crypto market, can I also ask about the company's outlook for the crypto market this year?
Chaowei Yan: Yes. I think, yes...
Minty Wang: Actually Charles has just mentioned his outlook.
Chaowei Yan: Yes.
Minty Wang: He just has stated that he believes that the global market is in an interest rate cutting channel. So we think we are still on the way, although the crypto market didn't perform very well in recent days but we think during a bull cycle is a very -- no more price adjustment. It's about the risk preference of the market but we think the crypto market has a very close relationship to the whole -- to the money liquidity of the whole world. So we're still very optimistic about the performance of the whole market. Although the market seems not performed very well recently but -- we're still -- just as the -- Eric Trump say, that it's a good opportunity to buy the dip. So we're still very confident about this year's performance. And according to our order book, we still have a very strong demand on our Aleo series mining rigs and Dogecoin series mining rigs. So according to us, it seems that some miners are all -- well prepared for the rebound of the market. And that's why we are still -- we will still insist in our strategy of accumulating Ethereum and upgrade our Dogecoin series mining machines this year.
Operator: Our next questions come from Kelvin Yu from Grow Investment Management [ph].
Unidentified Analyst: The company just mentioned the market catalysts. What are the catalysts for the company's own growth in 2025, please?
Chaowei Yan: Thank you for your question. Firstly, for the -- for our company's catalysts, firstly is, of course, the Dogecoin and Litecoin ETF approval. And the price of altcoins, if they have a good price performance, it will also increase our financial performance. And the third one is the new initiative projects or new technology which applies in the crypto market. So all these factors could potentially enhance our company's performance. Thank you.
Operator: Thank you for the questions. We have no further questions from the line. I would like to hand the call back to management for closing.
Minty Wang: Okay, if there are no questions from -- in the line, maybe we'll call it a day. And thank you for joining our conference. And you can visit our IR website for further materials or e-mail the IR team for further information. Thank you.
Operator: That does conclude today's conference call. Thank you for your participations. You may now disconnect.